Operator: At this time, I'd like to welcome everyone to the Core Lab second quarter 2011 earnings conference call. (Operator Instructions) Thank you. Mr. Demshur, you may begin your conference.
David Demshur: Good morning in North America, good afternoon in Europe and good evening in Asia-Pacific. We'd like to welcome all of our shareholders, analysts, and most importantly, our employees to Core Laboratory's second quarter 2011 earnings conference call. This morning I am joined by Dick Bergmark, Core's Executive Vice President and CFO. Also, again this morning, we are joined by Core's COO, Monty Davis, who will present the detailed operational review. The call will be divided into five segments. Dick will start by making remarks regarding forward-looking comments. Then, we'll come and give a brief investor update and highlight the three financial tenets by which Core's executive management team executes the Company's growth strategies. We believe that these three financial tenants have produced industry-leading shareholder returns and returns on invested capital. We will also discuss Core's long held philosophy of returning excess capital back to our shareholders. Dick will then follow with a detailed financial overview and add additional comments about building shareholder value and Core's third quarter and full year 2011 revenue and earnings guidance, which has been increased from prior guidance. Then Monty will go over Core's three operating segments, detailing our progress and discussing the continued successful introduction of new Core Lab technologies and services and then highlight some of Core's operations and major projects. Then we'll open the phones for Q&A session. I'll turn it back over to Dick for remarks regarding forward-looking comments. Dick?
Dick Bergmark: Thanks, David. Before we start the conference this morning, I'll mention that some of the statements that we make during this call may include projections, estimates and other forward-looking information. This would include any discussion of the company's business outlook. These types of forward-looking statements are subject to a number of risks and uncertainties relating to the oil and gas industry, business conditions, international markets, international political climate and other factors including those discussed in our '34 Act filings that may affect our outcome. Should one or more of these risks or uncertainties materialize, or should any of our assumptions prove incorrect, actual results may vary in material respects from those projected in the forward-looking statements. We undertake no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. For a more detailed discussion of some of the foregoing risks and uncertainties, see Item 1A Risk Factors in our Annual Report on Form 10-K for the fiscal year ended December 31, 2010, as well as the other reports in registration statements filed by us with the SEC. Now with that said, I'll pass the discussion back to David.
David Demshur: Thanks, Dick. I'd like to give a brief investor update. Core's operations produced an all-time record quarter, as the company realized a longer weighted increase in international and deepwater offshore activities in response to higher oil prices, and dwindling global spare oil producing capacities. Core's Reservoir Description results, reflect these positive increases in both international and deepwater activities, and Monty will make remarks regarding both of these. We see this trend continuing into the third quarter. Our second quarter 2011 results were somewhat tampered by several transitory issues that affected margins and incremental margins for our Production Enhancement segment. Monty will give colors to these issues, but we expect Production Enhancement margins to return to historical levels in the third quarter of 2011. And then finally form operations, Reservoir Management posted its best quarter ever, reflecting additional oil company support for its joint industry projects in unconventional oil shale reservoirs in North America. And the growing interest in unconventional shale reservoirs internationally, specifically in Northern Europe. We'll have some comments later on Argentina as well. Our growth strategies and the execution by our operating units continue to serve our clients, our employees and our shareholder as well. Core's continued focus on international crude oil related developments, especially those in deepwater environments, North American unconventional oil resource plays, and the continued internal development of new technologies and services has led to a multi-year sustained growth and increased profitability. Core has followed and will continue to follow three key investment tenets that have led to industry-leading returns. These three financial tenets are; number one, to maximize free cash flow through fiscal discipline. Core follows a strict discipline for allocating capital for investment in growing our business. Unless certain return on invested capital standards are met or exceeded, the capital expenditure is disallowed. On average, over the past 31 years, the company has determined that the appropriate capital allocation generally equals the amount of annual depreciation. Potential acquisition opportunities must past the same high standards. This disciplined produced first half 2011 free cash, exceeding $86 million or equaling $1.76 per share, essentially equaling our first half net income. As we have often said, net income is usually a pretty good proxy for free cash flow for Core Laboratories. This per share total will be one of the highest for all major oilfield service companies. In fact, Core converted about one of every five revenue dollars into free cash during the first half. Core will continue to demonstrate strict financial discipline in 2011 and beyond. The second financial tenet is to maximize our return on invested capital. Core's Board has initiated an incentive compensation program for Core's executive and senior management teams based on the company producing a return on invested capital in the top decile for oilfield service companies. Core believes that spot price performance over time is directly related to its return on invested capital. Based on these most recent calculations available from Bloomberg Financial, Core's return on invested capital of 34%, which was approximately 25 percentage points higher than the oilfield services peer group average, listed by Bloomberg Financial and was approximately 24 percentage points above Core's weighted average cost of capital. Investor should also note that some oilfield service companies continue to post returns below their weighted average cost of capital, a product of consistent over investment in their company's or overpayment for proceed growth via acquisitions. Core strives to have industry-leading return on invested capital through continued execution of our gross strategies coupled with capital discipline. We believe that our commitment to both in 2011 and beyond will result in a continued superior share price performance for Core's shareholders. The third financial tenet is to return excess capital to our shareholders. During the second quarter of 2011, Core returned over $75 million to our shareholders in forms of quarterly dividends and the repurchase of warrants representing approximately 628,000 shares, a sum which equaled about 1.3% of the company's outstanding shares. For the first half of 2011, Core has returned over a $136 million to our shareholders, equaling approximately $2.80 per share. Since the program was initiated in 2002, Core has returned over $950 million or almost $19.50 per diluted shares to our owners, a total that will likely exceed $1 billion later this year. We will continue to follow these three key investments tenets in 2011, which should enable Core to continue to produce industry-leading returns for all of our shareholders. So now, I'll turn it back over to Dick for the detailed financial review. Dick?
Dick Bergmark: Thanks, David. If we look at the income statement, revenues were $225.8 million in the second quarter versus $206.7 million in the prior quarter, and $198.9 million in the second quarter of last year. So revenues were sequentially up 9% and up 14% year-over-year. And given that the international rig count was down around 2% from a year ago, our revenue increase is materially higher than international activity levels, if you use rig counts as a close proxy for activity. Of these revenues, services for the quarter $169.8 million, up 11% when compared to $153 million last year, an increase of $16.7 million. Product sales for the quarter were $56 million, up 22% when compared to $45.9 in last year's second quarter. If we look at cost of services for the quarter, they are 66% compared to 63% in last year's second quarter. And cost of sales in the quarter were 72% of revenues compared to 69% for all of last year. G&A for the quarter was $9.8 million, which was up slightly sequentially from $9.5 million and from $9.2 million in last year's second quarter. We expect G&A to be around $36 million or $37 million in 2011. Depreciation and amortization for the quarter $5.8 million, virtually the same as last year. And we think for the full year 2011, it will approximately be $24 million. Other expenses quarter is $147,000, which is compared to an expense of $1.3 million in last year's second quarter. And the difference is primarily due to the effects of currency fluctuations in last year's second quarter did not reoccur this quarter. EBIT for the quarter excluding the items was $62.2 million, which is up $8.5 million or 15.7% year-over-year. Our second quarter EBIT excludes items represents EBIT margins of about 28%, slightly higher than last year's second quarter of 27%. Interest expense was $2.5 million for the quarter compared to $4.1 million in last year's second quarter. But only $577,000 and this is cash interest that is due to the note holders and to the credit facility in that period. While $1.9 million or $0.4 per share was non-cash interest expense being paid to no one. For the full year 2011, GAAP reported interest expense maybe around $8 million, $6.6 million of that being non-cash. While the cash interest paid will only be $1.4 million representing approximately $0.14 per share in non-cash expense. Tax expense in the quarter was $14.7 million, reflecting an effective tax rate for the quarter of 26.7%. We expect our full year 2011 annual effective tax rate to be approximately 28%. Net income for the quarter excluding items was $43.9 million compared to $34.2 million in last year's second quarter, which represents a 28.2% increase on a year-over-year basis. GAAP net income for the second quarter was up over 18% at $40.5 million compared to $34.2 million last year. Earnings per share in the quarter adjusted for the items previously mentioned was $0.90 compared to $0.88 reported as Bloomberg's Main Street estimate, and our prior guidance of $0.84 to $0.88 per share. And that compares to $0.77 reported last quarter and $0.71 year-over-year. Our adjusted EPS was up almost 17% sequentially and 27% year-over-year. GAAP EPS for the second quarter was $0.83. Now, going over to the balance sheet. Cash was $24.6 million compared to the prior yearend balance of $133.9 million. Cash balances and our free cash flow were used primarily to repurchase our shares, settle our warrants, pay our dividends and fund the early exchange of some of the notes. Receivables stood at $160.2 million, up slightly from $154.7 million at yearend. Importantly, our DSOs for the quarter improved to 64 days from 70 days for all of 2010. Inventory, up from $34 million at yearend to $42.5 million. Turns improved and are now at 3.8 for the second quarter compared to 3.7 in the first quarter. So our operating managers did a great job improving inventory turns during a time that our product sales were up 22% year-over-year. Other current assets were $27.4 million, up slightly from last year and up $26.7 million. There is a real change in PP&E and intangibles, goodwill and other long-term assets increased $9.9 million primarily due to an increase in deferred tax assets of $6.8 million, relating to the notes that were early exchanged this quarter. And now to the liability side of the balance sheet, our accounts payables were $61.3 million, up from the prior yearend balance of $44.7 million, due to increased business activity and our settling of some of the warrants. Our senior notes are now down to $89.7 million from a $147.5 million at yearend and continue to be classified as current, and are available for early exchange into the third quarter of 2011. As a result, note holders if they choose can send their notes to the trustee and we will exchange their notes. We received nine such request to exchange 17,909 notes in the second quarter, which were settled for $17.9 million in cash and 213,936 shares from treasury. And remember that these shares were for the most part already included in our diluted share count and had no impact on diluted EPS when they were issued. Our current liabilities at $85 million aren't changed from the prior yearend balance. And other long-term liabilities ended at $61.8 million, an increase of $6.3 million over the previous yearend balance due to additional tax contingencies that have been established in a verity of our international locations. Equity component of senior exchangeable notes stand at $2.2 million, down from last quarter's $4.5 million due in part to the notes exchanged during the quarter. And as a result of this balance, continuing to amortize into the indebtedness balance shown in short-term debt. This balance plus the short-term debt balance equals to $91.9 million in outstanding face value of the notes. These classifications required while the early conversion condition of the note is in effect. Shareholders' equity into the quarter $252.2 million, down from the prior yearend balance of $292.3 million primarily due to additions from earnings offset by share repurchases. The accelerated settlement of our warrants and dividends paid. Using annualized net income for the second quarter, our return on equity was approximately 69.6%. This is certainly one of the highest returns earned in the industry. And as remainder for full year 2010 our return on equity was 50.8%. Capital expenditures for the quarter were $7.6 million, up from $6.5 million in the prior year second quarter. We expect our CapEx program in 2011 to be approximately $25 million to $27 million as a result of an expected continued improvement in industry activity. Looking at cash flow, cash from operations in the quarter was $39.9 million and after paying for $7.6 million in CapEx. Our free cash flow is $32.3 million or $0.66 per share. The annualized per share yield on our year-to-date free cash flow was 3.2%. During the quarter, we used our free cash flow and cash balances to pay $11.4 million in quarterly dividends. We purchased $2.3 million of our shares, paid $17.9 million for the repayment of the early exchange of some of our notes and settle $3.2 million warrants for $57.8 million plus 668,436 common shares. Okay let's now touch on our targets for the third quarter. For third quarter, we expect revenue to be approximately $230 million to $245 million with EPS ranging between $0.98 and $1. This revenue and EPS guidance could be negatively affected by as much as $6 million in revenue and $0.04 EPS by Production Enhancement results. Depending upon the severity of the vendor shortages of high-performance specialty steel tubulars needed for the company's perforating system. For the full year 2011, Core expects revenue to be up from prior guidance to approximately $910 million to $930 million, with EPS expected to range between $3.65 and $3.72, up from prior full guidance of $3.55 to $3.60, excluding one-time items currency effects and the favorable tax determination are reached in the full. As 2011 guidance excludes any gains or losses that may originate from the repurchases of outstanding debt and any effects of foreign currency translations. In addition, 2011 guidance does not consider shares that maybe repurchased by the company or shares that maybe added to the share count relative to amounts outstanding on Core's notes and warrants. Now with that I will turn the call over to Monty for more in depth operational review.
Monty Davis: Thank you, Dick. The second quarter of 2011 was our highest revenue and operating earnings quarter ever. Revenue growth over Q2 2010 was 14% and operating earnings excluding items grew 16%. Those records were achieved to the efforts of our nearly 5,000 employees around the globe and we thank them for their combined success. Operating margins of 28% improved to 100 basis points over Q1 2011 and Q2 2010. The company has initiated a restructuring and further cost reduction within our Russia based operations to increase efficiency and profitability The Russian market continues to lack demand for Core's higher-technology and higher-margins services. Therefore 300 positions are being eliminated and several locations are being consolidated. We will continue to have a substantial presence in the greater Russian market, placed to position the company to react when the market demand for a higher technology services increases. Our Reservoir Description revenue grew 11.5% over Q2 2010, and operating margins grew 200 basis points to 26%. The year-over-year quarterly revenue growth rate was the largest in 2008 signaling the pick-up of international and deepwater activities expected earlier this year, and one international offshore and one international study offshore. Core Lab is analyzing Core from a deepwater East African well for a large independent oil and gas company. We have conducted a comprehensive analytical program for the independent oil company that has been drilling offshore East Africa. Our involvement includes wellsite services, routine rock properties, advanced rock properties and geological analysis of these higher-potential reservoir targets. Core lab has been involved with these studies since the initial exploratory wells were drilled. This multi-well project has now moved into the appraisal and delineation phase requiring a wide range of formation evaluation data sets that we'll be generating in our laboratory operations. We are working closely with the operators to design an efficient analytical program that will meet their reporting timelines. As a part of this program, we have deployed some of our new proprietary digital imaging that allows us to quantify certain challenging rock properties through the (inaudible) in great detail. In addition, we will be employing our full range of traditional analytical services including a variety of Core Lab develop processes. We anticipate that this program will continue over the next several quarters. We've developed the new service that uses CT technology to image rock samples and fluid dynamics in real time, during its laboratory stimulation of a field flood test. This technology has provided our clients with valuable insight into the efficiency of various gas displacing oil flood. The digital imaging we have developed follows the progression of the flood front through the Core samples revealing areas of varying sweep efficiency. The test are being conducted on full diameter samples of buggy carbonates and will allow the client to determine the optimum combination of gas type, CO2, natural gas, nitrogen, et cetera and flow rate, so as to maximize ultimate recovery in this material field. These complex tests were conducted using live reservoir fluids as well as simulated reservoir pressure and temperature. This new service will be applicable in many similar carbonate reservoirs around the world including some of the largest reservoirs in the Middle East. Production enhancement revenue increased 11% over Q2 of 2010 with sales of completion products growing 24%, while diagnostics service revenue was down slightly from the all-time high sales in Q2, 2010. Partially due to disruptions in Bakken area from flooding and the delay of some international field flood diagnostic studies that are now underway. The year-over-year comparison was also made difficult as Q2, 2010, revenue included two large diagnostic projects in China that had superior operating margins and did not repeat in Q2 of 2011.Operating margins of 28% were equal to Q1, 2011. But below those of Q2, 2010, due to the aforementioned flooding and international project delays, along with the general mix of products and services delivered in the quarter. And the rising cost of metals used in our manufacturing products. We believe that many of the margin depressing issues were specific to the Q2, 2011. And expect Production Enhancement margins to return to historic levels in Q3, 2011. We are currently using our proprietary SpectraFlood technology to help our customer in Asia, optimize a waterflood project. The waterflood focuses on two major contributing reservoirs in the field, both with geological fault. Reservoir Management revenue for Q2 grew 44% over Q2 2010. Operating earnings grew 99% over Q2 2010 and operating margins improved 1100 basis points. Our newly initiate study of the Avalon shale in the Delaware Basin of New Mexico and Texas has eight members. The premium Avalon shale play has had some very encouraging results for liquid hydrocarbons. The first horizontal well averaged 580-well per day, subsequent wells have initial productions of 800 wells to 1000 wells per day. The tidal reservoirs of the Midland Basin has a great deal of activity with company's fracture stimulating a number of formations including the lower Sprayberry, Wolfcamp Strong and others. These are producing liquid hydrocarbons and gas. The difficulty is trying to determine, which are the best (inaudible) and to high-grade the pay intervals. We're studying Core's and production data to resolve these questions and guide our consortium member companies. Core Lab's global shale study has grown to 25 consortium members since the initiation of the global shale consortium. Reconnaissance work has been completed on 75 wells in our crops sections. These spread across broad geographic area from Ireland, United Kingdom, Netherlands, France, Germany, Poland, Hungary and Romania. With encouraging results from formations in the lower payleozoic, carbon efforts and Jurassic, additional sample materials are currently been acquired to various operators and nation repositories. The aim of this campaign is to expand European database within these specifics stratigraphic units, as well as to extend the geographic reach into adjacent areas, such as Sweden and Ukraine. Our prime focus is the Cambrian to Silurian in Poland, which has seen active drilling of shale prospects over the last year. Beyond Europe an evaluation of a Silurian shale core from a well and Tunisia was made available to our study participants in June 2011. Further, major reviews of shale potential have been undertaken in South America, South Africa and Australia. Efforts have been made to acquire appropriate sample materials, for analysis from these regions. In South America, the prime countries of interests are Brazil, Peru, and especially a potential liquid rich shale reservoir located in the Neuquen basin of Argentina. Reviews of Shale potential in North Africa, India and China are planned for the coming year. We will now open the call for questions.
Operator: (Operator Instructions) Your first question comes from the line of James Crandell with Dahlman Rose.
James Crandell - Dahlman Rose: Dave you made a comment in your last quarter report, you said you wouldn't be surprised to see over a thousand rigs drilling for oil, by yearend in the U.S. And gas, you thought it could go down to the 700. We've over 1,000 already into oil, and gas seems to be hanging in their in the high 800. How was your thinking, I guess, about the U.S. market evolves and what implications does that half for your sort of business and capital expenditures in the region?
Dave Demshur: Yes, Jim certainly we are focused on the liquid-rich plays because of the increased returns for our clients. We are gearing technology as we have done with the HTD-Blast, for the liquid plays, would not be surprised in seeing the amount of rigs drilling for oil to reach 1100 and approach 1200. And again we would still see a continuing decrease in the amount of rigs drilling for natural gas. That's kind of the way we geared our business for the second half. As we mentioned in Production Enhancement we saw a lot of our issues there transitory, so we think this trend bodes well for production enhancement. And looking at the amount of, especially the steel tubulars needed for some of our specialized guns, needed for these long lateral completion that would might be a little bit of a bump in the third quarter. But certainly we've got additional suppliers whereas by the fourth quarter we should be totally geared backup for that.
James Crandell - Dahlman Rose: I guess increases optimism about the shale plays here Dave, is that impacted your decision on capital? And how much to invest in the business?
David Demshur: We're still right there at around a little bit over depreciation. And when we look at the amount of CapEx needed to look at some of these shale plays, we feel that we are at sufficient amount in the U.S. But interesting enough and we did made a note about it. We are probably going to up a little bit more CapEx and direct that to Argentina with an expansion of Production Enhancement opportunities there for the shale's, and the Neuquen basin, which we believe will be the first substantial oil resource play in the shale outside of the U.S. We had often made comment about some of the Silurian shales that Monty had referenced in North Africa. But we think due to political unrest there, that those will be put on hold for a bit. So the Neuquen basin looks like it might be the first off the block.
James Crandell - Dahlman Rose: And my second question Dave is, could you give a little bit more detail on Russia. I mean how far back I guess do these issues go in Russia. Is this something that is deteriorated further? And why now versus some other point make these decisions?
Monty Davis: Jim, this is Monty. We have been working to get the margins up in Russia for a period of year. We're not getting at where we are, where we need to be, where we want to be. The market is not taking in our high technology services as a rate. And quite frankly willing to pay those what we require for that. So we just kind of run out of patient, and said, okay, we're going to take a more drastic action here and get this down in cost structure to where we can make an acceptable margin, get this up to Core Lab's standards in the next few months.
David Deshmur: And if you remember Jim, back in 2007 and in 2008, we sold our real estate positions there and had a reduction in forces at that time as well. We still are seeing far too many solutions been fracing the well and putting in an electrical submersible pump. And when that happens it doesn't use a lot of our higher technology, higher margin services that are going to be needed to sustain production levels. In Russia at greater than $10 million, let's say 10 million, 10.2 million barrels a day. Sooner or later they're going to start have to look at miscible gas floods solution for these fields, is that will be the only way they'll able to sustain that level of production. So we will be stationed there and wait for the uptick where they're going to need these higher technology, higher margin service.
Operator: Your next question comes from the line of James West with Barclays Capital.
James West - Barclays Capital: Dave or Monty, in the your Production Enhancements business, few quarters back, we ran on to some capacity issues and I know you did some deep bottlenecking work. Given that North America is going to continue to grow in here, do you need to be bottleneck further to increase your capacity there or you're comfortable and excluding of course the third quarter supply chain issues, where you're comfortable that you enough capacity to support the market over the next call it the four, five quarters?
Monty Davis: In our sales, I mentioned our product sales increased 24% over Q2 of last year. And that demonstrates we've done a pretty good job of bottlenecking. I won't say there is nothing to do because we are also working on efficiencies and improving the process James. But our guys have done a really job at this. Our production is good and strong. You mentioned the steel, upcoming potential steel shortage that is an issue where we've been working for the last several months to resolve and that's really the issue out there for us for Q3. Beyond that we're in good shape on production.
James West - Barclays Capital: And Monty, last quarter you said HTD Blast was I believe on one of every five of oil shale wells that have been drilled today. Give an update to that number?
Monty Davis: It's up a bit, particularly in the liquid-rich plays that are that are the most active, the Eagle Ford, Niobrara and so on. The one issue that we're facing is there is some shortage of coiled tubing units to go out. This is pushed down on a coiled tubing unit to perpetrate the toe of the well. And we're run into several instances where the coiled tubing units just aren't available. So let's try other means to complete the well. But the acceptance is still real strong, James and we think it will continue to be.
James West - Barclays Capital: Okay, good. And then switching over to the international side of the business, clearly the deepwater's international recovery is now underway. Which markets or which regions do you see the fastest growth as we go to the second half of this year?
Dick Bergmark: Yes, James if we look at the amount of rock and fluids are getting out of West Africa. Monty mentioned East Africa. I mean we're talking about cores that are 2,000 meters over 6,000 feet. So we're seeing significant amounts of rock and fluids coming out of both offshore deepwater West Africa, East Africa. Appraisal plans continue in the Eastern Mediterranean. We would say that Middle East looking at increasing the productive capacity of these fields is penultimate now for these countries, because of what we believe is just a limited amount of spare capacity that is in the market place. And Asia Pacific continues to be very strong for us as well.
James West - Barclays Capital: Okay, and then just one last question for Dick. Dick what was the share count at the end of the quarter.
Dick Bergmark: Share count at the end of the quarter was at right here 48,662.
Operator: Your next question comes from line of John Daniel with Simmons & Company.
John Daniel - Simmons & Company: Just two questions for you guys today. Just on the HTD-Blast system. Can you just would tell me, what exposure that has international at this point. And what efforts are being made with the product that receives.
Monty Davis: We are constantly looking, but it has to be applied for the drilling horizontal wells. And it's just not a whole lot of that market out in the international marketplace. With our global sale study, we're on the four fronts of what's happening in shale plays. We will be there when the horizontal wells start going. We think there's going to be some opportunity in Argentina. That's probably going to be one of the first most active places for horizontal wells. And certainly we'll be out there with our HTD-Blast system as horizontal drilling takes off in some of the shale plays.
John Daniel - Simmons & Company: I mean I understand it's not much horizontal activity at this point. But that would be my impression that on when they did the test was, they used best technology. And I just didn't know if you guys have been approached at this point for that.
Monty Davis: Yes, we haven't been, but we do have plans. Actually John, our thinking is a little bit broader than just a shale plays actually. We believe that there is going to be HTD applications in some of the redevelopment in these fields in Iraq. We just don't see enough efficiency coming from vertical wells being drilled into these reservoirs. And some sections have been finally damaged. So we wouldn't be surprised to see this technology applicable in carbonate reservoirs in the Middle East as well. Anyway, there is a horizontal drilling program; another area might be Australia; we're going to see some horizontal drilling in those gas fields. And HTD-Blast is a great technology for completing the toe of any horizontal well.
John Daniel - Simmons & Company: Okay. Last one from me, I'll turn it over. In the release you guys mentioned, one of studies on the Granite Wash well which showed, if you really ineffectiveness of a sliding sleeve? When you presented that data to the customer, what remedies did they take?
Monty Davis: At that point, with the sliding sleeve in place, there is not much they can do to remedy, that well.
John Daniel - Simmons & Company: Or may not that well but on future wells, within the process?
Monty Davis: Future wells, yes, we recommend that HTD-Blast be in place.
John Daniel - Simmons & Company: Of course, I understand whether if they maybe switched and stop using the sliding sleeve or what?
Monty Davis: John, I don't think we know that nor have we gotten the release from the client on that information.
John Daniel - Simmons & Company: That's all from me guys good quarter.
David Deshmur: Hey john, a point should be made on sliding sleeve. We absolutely think that there are opportunities and circumstances where the sliding is the proper answer. And it is a good technology. However, it is not a universal cure for the shortage of hydraulic horsepower throughout the U.S. in the shale plays, currently that we see now.
John Daniel - Simmons & Company: Yes, I Understand. As you know a lot of talk about it right now when you highlighted in you release, you kind of jumped out in effectiveness. That's all.
Operator: Your next question comes from the line of Robert Mackenzie with FBR Capital Markets.
Robert Mackenzie - FBR Capital Markets: I wanted to follow-up on John's question, a little bit; vis-à-vis the sliding sleeve and the test you did. How much, other analysis work of this type had taken place? I mean today frankly they are predominantly more popular into the Bakken. A number of other operators testing them out more broadly in other basins, and what does that mean for potential opportunities for Core?
David Deshmur: Yes absolutely. And I would say that the number is up in the 100's of wells, we'll reviews our fractured diagnostic technology to determine which stage has been efficiently and effectively stimulated using the sliding sleeve and also in conjunction with our completion profiler, we can gage the amount of production coming out of every stage. If you look at the well and the Granite Wash, there were 20 stages. Only 7 actually contributed to productions. And actually Rob, the client was initially pleased with the initial production from that well because it looked like multiple stages, almost all-stages were stimulated. It was only when we did fracture diagnostics on it that he saw that all that production was coming from its little as seven of his twenty stages. So a remediation or plans for the next wells certainly you would want contributions from all stages, especially the eight toe stages on that well did not give contributions. So we see a real nice application of Spectra, when we look at our SpectraScan and SpectraChem combined with our completion profile. It's a great way to determine if each stage was stimulated. And the amount of production contributed from that stage. So it's a perfect diagnostics to look at plug and perf versus sliding sleeve.
Robert Mackenzie - FBR Capital Markets: Okay, thanks for that David. Monty, next question for you, I guess, is can you give us some more color on what moving part of determine whether or not you take a bit of a or you don't take your target in 3Q for Production Enhancement, as you guys read this in the press release. What are the moving parts of your supplier in terms of productive and price increase to your customers to overcome higher cost? What are those factors we should look at?
Monty Davis: What we are doing, we've got a multi-prong efforts to replace that supply of steel. And we are bringing steel from Japan, from Argentina, we've got a big order in China. We're bringing steeling from Romania to produce these guns. The key to remember is these are high strength, high tubulars, that can be used under extremely higher pressure of appropriating events in deepwater well. And so it's very important that the steel strength and quality be there. So that we don't have a collapse rupture or coming the part of appropriating gun and well. So it makes it difficult. We are applying in tubulars from Argentina. We are applying in tubulars from China, at manufactures that we've qualified to that are able to produce these types of tubulars that's an additional cost obviously over our normal supply stream. We have increased for the surcharge on these guns for the time period that the shortage exists. And that will be in place probably towards the end of the year to recover those costs, so we've taken a lot of actions. We are in contact with our customers, have been in contact with the customers, keeping them advised of the situation; what we're doing and what's going on in the marketplace, so that they understand the shortage and most of them pretty well aware that there going to be shortage.
Robert Mackenzie - FBR Capital Markets: Okay. And then, so whether or not you'll take a $0.04 hit relative to your guidance in third quarter, depends on the success in pushing through some of those surcharges and the impact on sales?
Monty Davis: It's not really the success of pushing through the surcharge that's in place, that's happened. It's receiving these tubulars and get them through our QA system to make sure they are what they should be.
Robert Mackenzie - FBR Capital Markets: Was that an impact in 2Q as well here?
Monty Davis: There was some effort in Q2, we have not had a shortage in Q2, but we've certainly been expanding efforts. So it's very hard to quantify cost. But we think it's going to steel mills in lots of places around the world. We've been doing some QA work. We've been working on systems. So there is some. And this shortage is way broader than just; it affects virtually everybody that's buy these two groups.
Robert Mackenzie - FBR Capital Markets: My last question related to Production Enhancement is, is the shortage and cost of the steel, the entirety or most of where we're seeing kind of the margin issues this quarter?
Monty Davis: No, the margin issues these quarter were in rather a couple of things. Metals have been increasing in price and I think that's pretty common knowledge. And so we use a lot of metals in our manufacturing of charge cases and guns and the ancillary equipment. So that's one factor. But the biggest factor is our product mix. As we mentioned the sale of completion products has grown way faster than our service components. So you're running into the fact that the incrementals are manufacturing are not anything like they might they are in the service. And decrementals is also the same way, because of the product cost. So that's really what affected us more than anything.
David Deshmur: Yes, and it was the weather delays in the Bakken, Rob, where we had cost for crews and could not be activated. And still we were going to lay those crews off, more over the delays to international flood projects of West Africa where we had crews keyed up, and yet we weren't able to generate any revenue. So those were more a drag on the incrementals than the increase in cost of steel.
Robert Mackenzie - FBR Capital Markets: That's very helpful David, and actually if I may one more follow-up. When you mentioned in the prepared remarks that you expected margins to return to more normal levels in 3Q, are you representing kind of the low 30% range we've seen over the past year?
David Deshmur: Correct.
Operator: Your next question comes from the line of Doug Becker with Bank of America.
Doug Becker - Bank of America: David, during the second quarter you normally update your revenue capacity now. So we're just hoping to get where Core Lab's revenue capacity stands there?
David Deshmur: Very good, Doug. Yes, if we look at the ability for Core Lab to generate, we were on a run rate of about $1.2 billion. We're going to now set a foothold where we're looking at between $1.3 billion and $1.4 billion. We will fine tune that for you actually later today.
Doug Becker - Bank of America: And does it look like there's any of the three segments that's accounting for more of the growth or pretty broad based.
David Deshmur: Actuallym pretty broad based. Because when we look at the capacity utilization in all three segments, certainly Reservoir Description, Production Enhancement, nice areas, nice fields to run there. Maybe a little bit less in Reservoir Managing, because that's more of a people intense of business. But all-in-all, there will be somewhere between 1.3 and 1.4.
Doug Becker - Bank of America: And Dick you have a program in place to accelerate the repurchase of the warrants. How much is left on that program? And how long do you think it will last?
Dick Bergmark: We have settled half of the warrants. So there were about 6.4 million warrants initially. And we've done about 3.2 million of those. Right now we follow the standard is to warrant document, which calls for a 20-day settlement period following the expiry date, which is in December. So the 20 business days following that, unless we reach an agreement with the warrant holder to do additional settlements early. And if we do, we'll putout an 8-K on that like we did with the first two early settlements.
Doug Becker - Bank of America: Is that something that you're working towards?
Dick Bergmark: We will put out an 8-K, when we have completed that decision.
Doug Becker - Bank of America: Fair enough. One last one for David or Monty, what's the revenue opportunity for Core Lab on the sliding sleeves versus a plug and perf, just to get a sense for difference from Core Lab standpoint?
Monty Davis: We would hope they would be exactly equal, because no more stages that are run, no more revenue opportunities we have on the fracture diagnostics. So what we would prescribe to our client is that each stage to be looked at from a SpectraChem standpoint for flow. Zero Wash tracer and Spectrascan to ensure that propping has been properly placed. And then a completion profiler to measure the amount of production from that zone that's contributing to the entire production to the wellbore.
Operator: Your next question comes from the line of Veny Aleksandrov with Pritchard Capital.
Veny Aleksandrov - Pritchard Capital: My first question is on Russia, you're streamlining the business there, and at the same time you have other markets that are getting stronger. Is there any way you can transfer or relocate some of the resources in order for the employees it's probably very difficult for some of the other resources from Russia?
Monty Davis: Veny, we do that where we can. We reallocate our capital and equipment, where we can to where it's most productive for shareholder and of course, where a client demand is. So certainly on the high-tech equipment more on future than what's currently implies, but we will be going to the places, where that demand is high. The people, it's a difficult issue to transfer people. We do some. We have done some of that. We will do some of that but it just depends on where the right capabilities will fitting, and we do look at that in these process.
Veny Aleksandrov - Pritchard Capital: Thank you, and then my second question, and Monty gave us some details, but are on the right of our management side, for the studies how many do you have, where are your wrapping cap and where do you expect to start new service in the near future?
Monty Davis: Well, we mentioned two new ones we started tidal reservoirs of the Neuquen Basin and the Avalon shale, which is Texas, New Mexico study. Those are new studies kicked off in the quarter. We're constantly working on those. Those obviously are growing because they are new. The global shale study is growing very nicely. We added people in the Eagle Ford, we added people in the Marcellus study in this quarter. So those studies continue to grow and overtime, we evolve those studies, we add people and studies do ramp up over the time, so some of them have very long lives and some of them not quite so long.
Operator: Your next question comes from the line of Blake Hutchinson with Howard Weil.
Blake Hutchinson - Howard Weil: We talked a lot on Production Enhancement here and I think the notable thing about the quarter is it finally got that nice growth rate out of Reservoir Description. Can you just talked, David or Monty, just kind of in broad strokes. I guess, last quarter you had alluded to the fact that you saw some offshore projects coming on. Was that the more profound of fact, in terms of quarterly and year-over-year growth? And can you also give some color to new engagements versus kind of a legacy activity? And then on top of this is your revenue guidance mainly anchored on a more tip visibility towards a more typical NOC spending pattern in the back half of the year here?
David Demshur: Yes. Blake, I think you're seeing a response to, remember we're not a exploration focused company. We're more on a appraisal and then development. And so you're seeing a lot of these projects, especially in the submarine fan plays in both West Africa and East Africa, entering into that stage, as well as, what we're seeing in the Eastern Mediterranean. And then more legacy in the Middle East excluding Iraq, because I think that will be a little bit of a different animal. But yes, we were confident that in our last quarters remarks that we saw that these projects will only be coming on. As I had mentioned, some of these quarters that are being cut now; one was over 6,000 feet in length. And so that's pretty healthy job for us. We see a continuation as that going forward. We look for more development in both, Atlantic margins, offshore West Africa, and then offshore Brazil. So we think that leads to a healthy second half for us, so a combination of appraisal and development. And also looking at legacy fields in some other places like the Middle East, Asia Pacific, the North Sea, and then with the shale plays continuing on in North America and then spreading worldwide. And that's why I think we give a more optimistic view than maybe we did 90 days ago.
Blake Hutchinson - Howard Weil: And then can you just explain a bit upon your commentary around Neuquen. Are you more bullish there, because of the geology or is it simply you have, you know its one of the places where you already have an oil field infrastructure at hand, which just may moves it up in the development queue.
Monty Davis: No it's based on the geologic properties of that. As we mentioned in our release, our shale quality reservoir index is being used not only there, but worldwide to determine where the best quality developments could be. And I think recent drilling there has confirmed that. So we look at it from a geological standpoint, where we should locate an increased capital and our attention to services and product sales. And Argentina right now fits that bill.
Blake Hutchinson - Howard Weil: And then finally, I mean I think maybe lost a little bit in the conversation tying up kind of 2Q within Production Enhancement. We bought up the tubular issue, the little of a bottleneck and conveyance of HTD-Blast all that sounded kind of secondary. Where did the field flood diagnostics work fall in terms of the hierarchy of effect on Q2? I mean the release made it sound a bit, if that have been the lead factor of revenue performance versus prior expectations. Is that not the case?
Monty Davis: There were two factors there that I mentioned. Last year in China we had two very large projects in the second quarter and those projects didn't reoccur. And we had two international projects that were supposed to happen in the second quarter this year that for reasons out of our control were delayed into third quarter, fourth quarter. So those were pushed off. And that certainly has a big factor, because our cost structure doesn't change very much with each of those. So a huge incrementals last year and when it comes down, they are not there, they are the decrementals kick in, as a much more dynamic range on the incremental than the product sales.
Blake Hutchinson - Howard Weil: So possibly more of an effect than late quarter and kind of tubular dislocations.
Monty Davis: Absolutely correct.
David Deshmur: Okay I think we'll take one more question.
Operator: Your last question comes from the line of John Lawrence with Tudor Pickering.
John Lawrence - Tudor Pickering: Just a couple of quick ones, just on the deepwater side a bunch of bullish data points. Are you seeing any bullish data points on the Gulf of Mexico at all?
David Demshur: Yes, as we mentioned in the last quarter, we were going to initiate a couple of projects there. We are on those now and we see several more coming later this year. So we haven't returned to pre-Macondo levels by any stretch of the imagination, but we do have activity and work going on there, I will give a nice update on that at the end of the third quarter.
John Lawrence - Tudor Pickering: Okay, so the body language is better there. And then just also on Argentina, is there any way to just to quantify the size of the opportunity for you. I mean, over three or four years could this be another Eagle Ford, may be?
Monty Davis: No-no; it's too early there, John. As there have been a couple of very nice wells, very encouraging wells that have been drilled production levels, looked to be encouraging and they have not used the best and most effective and efficient completion techniques. Yes, so stay tuned on that one. I think that there will be an interesting development here over the next several months to several quarters.
David Demshur: Okay, John. Thank you very much. So in summary, Core's operations posted another solid quarter. We have never been better operationally and technologically positioned to help our clients expand their existing production base. We remain uniquely focused and are the most technologically advanced reservoir optimization company in the oilfield services sector. This position is Core well for the challenges of 2011. We're encouraged by recent activity trends in international and especially deepwater activities. And realize that events effecting production enhancement results will be transitory and it should be returned to historical standards in the third quarter. So in closing, we'd like to thank all of our shareholders and the analysts that follow Core and as already noted by Monty Davis, the Executive Management, and the Board of Directors of Core Laboratories, gives special thanks to our 5,000 employees worldwide that have made these outstanding second quarter of 2011 results possible. We are proud to be associated with their continuing achievements. So thanks for spending your morning with us. We look forward to our next update. Good bye for now.
Operator: This concludes today's conference call. You may now disconnect.